Operator: Hello. Welcome to the Cboe Global Markets 2020 Second Quarter Financial Results Conference Call. All participants will be in listen-only mode. [Operator Instructions]. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions]. Please note, today’s event is being recorded. I would now like to turn the conference over to Debbie Koopman. Ms. Koopman, please go ahead.
Deborah Koopman: Thank you. Good morning and thank you for joining us for our second quarter earnings conference call. On the call today, Ed Tilly, our Chairman, President and CEO will discuss the quarter and provide an update on our strategic initiatives. Then Brian Schell, our Executive Vice President and CFO will provide an overview of our financial results and provide updated 2020 guidance for certain financial metrics. Following their comments, we will open the call to Q&A. Also joining us for Q&A will be our Chief Operating Officer, Chris Isaacson; and our Chief Strategy Officer, John Deters. In addition, I would like to point out that this presentation will include the use of slides. We will be showing the slides and providing commentary on each. A downloadable copy of the slide presentation is available on the Investor Relations portion of our Web site. During our remarks, we will make some forward-looking statements, which represent our current judgment on what the future may hold. And while we believe these judgments are reasonable, these forward-looking statements are not guarantees of future performance and involve certain assumptions, risks and uncertainties. Actual outcomes and results may differ materially from what is expressed or implied in any forward-looking statements. Please refer to our filings with the SEC for a full discussion of the factors that may affect any forward-looking statements. We undertake no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise after this conference call. During the course of the call this morning, we will be referring to non-GAAP measures, as defined and reconciled in our earnings materials. Now I'd like to turn the call over to Ed.
Edward Tilly: Thank you, Debbie. Good morning and thank you for joining us this morning. Before I begin, I would like to extend my sincere best wishes for the ongoing health and well-being of each of you and your loved ones as we continue to navigate these challenging times. I'm pleased to report solid financial results for the second quarter of 2020 at Cboe Global Markets, clearly highlighting the strength of the diversification of our revenues. Our strong results were driven by record trading volumes in U.S. cash equities and multi-listed options, fueled by growth in retail trading activity and by continued growth in market data revenues. You'll note I did not mention our proprietary products. I will cover those in a moment. But I want to pause here to quote a 2016 press release, entitled “Cboe Holdings agrees to acquire Bats Global Markets to strengthen the company’s global position in innovative tradable products and services, and achieve meaningful cost and operational efficiencies. We went on to say in that release that the Bats transaction will significantly expand Cboe Holdings’ product line across asset classes, broaden its geographic reach with Bats’ strong pan-European equities and global FX positions and diversify its business mix with significant non-transactional revenue. And that Cboe expects to utilize Bats’ leading proprietary trading technology by migrating trading in all of the combined company's markets onto a single proven platform.” This brief trip down memory lane will frame today's remarks, because no quarter more emphatically illustrates the fruits of a strategy that began four years ago than the second quarter of 2020, both in terms of our near-term financial results and in enhancing our long-term franchise value. Our proprietary products are key to that strategy, but we have build upon them and created new revenue streams to grow in tandem with them. Our growth strategy has not changed since the close of our transformational deal; expand our product line across asset classes, broaden our geographic reach, diversify our business mix with recurring revenue and leverage our technology advantage. Let’s take a look at the quarter through the lens of those growth drivers. The Bats acquisition enabled us to strengthen our product set with new asset classes for Cboe, including U.S. and European equities and global FX and to expand our market for multi-listed options. Our expanded product line left us well positioned to offset unique challenges to trading in our proprietary products in a truly unprecedented environment with record activity in U.S. cash equities and equity options. Furthermore, these products provided the foundation to invest in scaling our proprietary market data to drive recurring revenue streams, extend our presence further across the value chain into equities clearing and broaden the reach of our core services into a new adjacent geography, examples of investments made just this year-to-date. As discussed on previous calls, we've continued to methodically strengthen equities trading at Cboe through the implementation of new trading mechanisms and market enhancements and by leveraging the ability to cross-sell and competitively price our expanded offerings. We saw those efforts pay off in the second quarter when U.S. equities trading at Cboe increased 82% over the previous year for an all-time quarterly average daily volume high of 2 billion shares traded. Continued uptake in our retail priority program helped drive the record results. You will recall we created retail priority to help improve execution quality and trading outcomes for individual investors and firms that facilitate their orders. Retail priority orders have increased each month since their launch on Cboe EDGX in November of 2019 and represented 12% of shares executed on Cboe EDGX in the last two months. In another example of our focus on equity product innovation, we recently filed a proposal with the SEC to launch periodic auctions on our BYX Exchange similar to our Cboe Europe offering. Cboe Europe periodic auctions, a lit order book that runs auctions throughout the day, is designed to enable investors to quickly find liquidity and trade large quantities of stock with low market impact. It has proved popular among market participants after launching in 2015 and remains the leading European periodic auction accounting for around 2% of daily order book trading in European equities. We believe the U.S. market will also value executing trades in a venue designed to provide minimal market impact. Turning now to record trading and equity options. As you know, multi-listed options trading became highly competitive over the past decade in a market that became increasingly crowded with new entrants. We remained committed to being the leader in this space through the operating leverage inherent in our business model as equity options trading represented both incremental volume and revenue, complementing our proprietary product line. With that backdrop, it was something of a revelation when we were kicking the tires at Bats and saw the enviable profitability they achieved in equity options by leveraging the efficiencies of their superior technology. The addition of EDGX and BZX options to Cboe and C2 meant we cannot only compete with a broader array of market models, but that we could offer all four markets on the same advanced technology, further expanding our profit margin. This operating leverage provides differentiated investment capacity and the flexibility to further capitalize on the opportunities inherent in each of our strategic growth drivers. In addition to expanding our product line by asset class, we continued to expand and leverage our global footprint. As you know, we closed our acquisition of EuroCCP on July 1, which enhances our European equities offering and enables us to extend our business into trading and clearing European derivatives. We plan to launch Cboe Europe Derivatives in the first half of 2021 with futures and options on six key European equity indices. The development of derivatives products and markets is a sweet spot for us, and we see a significant opportunity to expand the market for European equities derivatives with the introduction of a transparent, efficient lit pan-European market. Our entire team is excited to bring our derivatives expertise to the European marketplace. We also announced our plans in Q2 to acquire MATCHNow, Canada's largest alternative trading system, which will enable us to broaden our North American equities business and expand our geographic reach. MATCHNow offers a profitable, innovative equities platform in a key capital market and a strategic pathway to build a more comprehensive equities platform in Canada. As I discussed earlier, this step into Canada demonstrate our commitment to profitable global expansion, thereby strengthening a combined offering contributing to incremental scale and allowing us to reach important new participants. We expect to close the deal this quarter. Another promise we made to the marketplace through our acquisition of Bats was to optimize and diversify our business mix with recurring revenue through trading tools and market data services that help attract repeat users to our markets. We’ve worked to steadily increase the market data revenues afforded us by the Bats deal, while successfully building out Cboe Information Solutions, our comprehensive suite of data solutions, analytics and indices, so much so that non-transactional related services were a key driver of our second quarter revenue growth. Understanding risk has never been more important and the groundwork we laid over the past few years enabled us to effectively respond to the heightened demand for historical datasets and sophisticated analytics, and we continue to expand our tool box. Last quarter, we discussed our recent acquisitions of Hanweck and FT Options, which, similar to our previous Silexx investment, highlight our commitment to investing in tools to grow the utility of our products suite and markets. In June, we acquired Trade Alert, a real-time alerts and order flow analysis service provider, which allows us to deliver real-time trade data, market information and Cboe content directly to customers. Importantly, our integration of Trade Alert along with Hanweck and FT Options now allows us to interact with the client throughout the lifecycle of a transaction; pre-trade, at-trade, post-trade, with insights, alpha opportunities, portfolio optimizations and seamless workflows. Each of these investments complements and strengthens our comprehensive suite of data and analytics solutions, and we’ve made great strides on their integration and optimization. We have enhanced LiveVol and Silexx with Hanweck volatility and Greek data and have demand – and we see increased demand for Trade Alert, especially since our acquisition. We’re also incorporating Hanweck data within our growing indices offering and plan to use Hanweck to drive real-time data in Silexx beginning this quarter. Turning now to our proprietary products. As noted, we grew our quarterly revenues and earnings despite an unprecedented environment that offer institutions limited opportunity to trade volatility or broad-based indexes. The COVID-19 pandemic continues to severely impact the global marketplace. The failure thus far to contain the virus in the U.S., recent increases in unemployment and historic declines in GDP, among other key events continue to drive elevated levels of market uncertainty. The average daily closing price of the VIX Index in 2Q 2020 was 34.5, a higher quarterly value than any quarter over the past five years and levels not observed since the 2008 financial crisis. We are finding that the increased levels of uncertainty that drove institutional investors to derisk and resulted in record volumes in the first quarter are now keeping institutional investors on the sidelines, waiting for more clarity around the longer-term impacts of the COVID-19 virus. This resulted in lower second quarter volumes for most of our proprietary products compared to the first quarter numbers. As we’ve said before, when these participants have clear views on where the market is headed, we expect once again to see elevated volumes. We continue to see uptake, however, in our Cboe iBoxx iShares high yield corporate bond index futures where we've seen gradual but steady market adoptions since their launch in 2018. In response to investor demand, we recently announced our plan launch of Mini-VIX futures on August 10, subject to regulatory review. The smaller VIX futures contract is designed to provide additional flexibility and volatility risk management and greater precision when allocating amongst smaller managed accounts. iBoxx and Mini-VIX futures exemplify our ability to continue to expand our proprietary product offering. In other proprietary product news, Cboe further strengthened its strategic relationship with FTSE Russell by extending its 2015 exclusive licensing agreement through 2030. We are excited to continue to work side-by-side with FTSE Russell and providing exclusive access to a suite of Russell-derived products. The extension of our agreement further solidifies Cboe’s vantage point as the home for every major index provider. Turning now to the trading floor. On June 15, we successfully and safely reopened the C1 trading floor and resumed hybrid trading. The return to Cboe’s best-in-class hybrid trading once again provides investors unparalleled access to liquidity across a wide range of Cboe products. Our ability to quickly transition to an all-electronic trading environment, then to reconfigure our floor for a safe and orderly reopening is a credit to the ongoing collaboration with our trading floor community. I would like to thank them for their efforts and willingness to work with us through these two historic firsts. I would also like to thank the entire Cboe team for a great quarter, despite a backdrop of global pandemic that continued to proliferate alongside a historic uprising against racial injustice. The spotlight on racial inequity past and present has prompted us as a team to listen, reflect and define how Cboe can play a greater role in the solution by supporting organizations that fight for social justice and by redoubling our efforts internally to strengthen our culture of diversity and inclusivity. Our continued ability to generate positive financial results, reward shareholders, create new products and services, close highly strategic deals and integrate new teams and services, all with an environment that we could never have imagined is a testimony to the expertise, discipline and competitive spirit of the Cboe team. Our disciplined approach and technology advantage have enabled us to expand and enhance our products and services, which include additional streams of complementary recurring revenue, reinforce our leading industry operating efficiency and provide the flexibility to invest organically and inorganically in new growth vectors to sustain underlying momentum in the business. Thank you. And with that, I will turn it over to Brian.
Brian Schell: Thanks, Ed, and good morning, everyone. I hope everyone and their families are remaining safe and healthy, and I'd also like to thank all of the Cboe associates for their hard work and dedication in helping make these results possible. Let me remind everyone that unless specifically noted, my comments relate to 2Q '20 as compared to 2Q '19 and are based on our non-GAAP adjusted results. As Ed noted, we reported strong financial results for the quarter, highlighting diversification of our revenue streams and the contributions from our investments delivering on our strategic initiatives. Our net revenue grew 5% with net transaction fees up 2% and non-transaction revenue up 7%. Adjusted operating expenses decreased 7%, which combined with our revenue growth resulted in adjusted EBITDA growth of 9%, resulting in an expanded margin of over 71%. The adjusted EBITDA margin on the incremental net revenue was 127%. And finally, our adjusted diluted earnings per share increased 16% to $1.31. We grew our quarterly recurring revenue stream of proprietary market data and access capacity fees by 8% compared to second quarter 2019, slightly above our prior guidance. This increase includes over $3 million in market data revenue attributed to our first quarter acquisitions of Hanweck and FT Options. Organic growth was 10%, which excludes the acquisitions and the shift of approximately $1 million in revenue reported in access capacity fees in 2Q '19, which is now reported in transaction fee, as well as a temporary realignment of fees associated with the trading floor closure of over $3 million. The growth of proprietary market data and access capacity fees continue to be driven by incremental subscriptions and units, accounting for 83% and 69% of the growth this quarter, respectively. In our last call, we noted that certain floor broker access capacity fees were suspended due to the temporary foreclosure and that we implemented comparable transaction-related fees targeted to achieve a neutral net revenue impact, all else remaining equal. This action shifted revenue in the second quarter resulting in incremental transaction fee revenue associated with higher revenue per contract, or RPC, for our index options and lower access capacity fees. In conjunction with the floor reopening, certain floor broker fees were reinstated. Looking ahead, we now expect the underlying organic growth for the proprietary market data and access capacity fee category to be mid-single digit. However, we now expect the reported growth rate for these non-transaction fees to be in the mid to high-single digits versus our previous guidance of low to mid-single digits, reflecting the reinstatement of certain fees as well as the acquisition of Trade Alert. Now, a review of our segments. In our options segment, the 7% or $10 million increase in net revenue reflects growth in net transaction fees, driven by our multi-listed options as well as higher market data revenue. Cboe’s expanded suite of information solutions services accounted for the growth in options, market data revenue benefiting from our recent acquisitions. The average daily volume, or ADV, for multi-listed options rose 57%, hitting a new quarterly high while RPC fell 12%. The RPC decline primarily reflects higher volume rebates and a shift in volume mix compared to the second quarter of 2019. ADV for index options declined 18%, while RPC increased by 18% resulting in a 3% decline in index options net transaction fees. The index RPC increase was mainly due to, one, a shift in volume mix as well as, two, the impact of temporary fee alignment, I referenced earlier, and then finally, the SPX fee increase implemented earlier this year. Assuming all else remains equal, we would expect index RPC to decline slightly in the third quarter, reflecting the reversal of certain second quarter fee changes post the floor reopening. Turning to futures. The 36% or $12 million decrease in net revenue primarily reflects a 44% decline in ADV and relatively stable RPC, offset somewhat by lower royalty fees. In U.S. equities, net revenue increased 22% or $17 million, primarily due to higher transaction fees with equities volumes benefiting from the surge in retail trading activity. Our market share also increased year-over-year, reflecting our focus on innovative products with particularly strong response to retail priority as well as enhanced direct marketing programs and greater dialogue with clients. The increase in market data revenue was driven by our higher market share as well as an increase in the total SIP revenue pool. Net revenue for European equities decreased 6% on a U.S. dollar basis and 2% on a local currency basis, reflecting lower market volumes and lower market share offset somewhat by higher net capture. The higher capture resulted from continued strong periodic auction and LAS volume. The net revenue decrease reflects a 13% decrease in transaction fees and a 14% increase in non-transaction revenue. The growth in non-transaction revenue reflects increases in access capacity fees, primarily reflecting incremental connections with the opening of our Amsterdam office in October 2019. Decline in market share was primarily a result of significant market profile shifts and short sale bans, which reduced order flow to Cboe. Net revenue for Global FX increased 5% this quarter, reflecting higher market share and a 5% increase in net capture offsetting a 2% decrease in average daily notional value. The increase in market share primarily resulted from positive response to functionality enhancements and the increase in net capture reflects a mix shift in volume by customer type. We set a new market share high and continued to reach new ADV highs in our full amount offering as well as Cboe SEF for NDS. Turning to expenses. Total adjusted operating expenses were about $96 million for the quarter, down 7% against last year's second quarter. The key expense variances include. One, a $7 million decrease in professional fees and outside services, primarily a result of lower legal fees; two, a $2 million decrease in travel and promotional expenses reflecting the COVID-19 impact on travel and events sponsorships. All this offset these declines somewhat with compensation and benefits increased by $3 million resulting from the net impact of a $4 million increase in bonus expense this quarter, a $3 million increase results from lower capitalized wages relating to software development and a $4 million decline in benefits expense due in part to a decrease in the adjustment of deferred compensation plan assets compared to the second quarter of 2019. Note that there is an offsetting charge in other income resulting in no impact to earnings. Looking ahead to the second half of 2020, we have updated our guidance to include EuroCCP and expenses related to our European derivatives growth initiative. We increased our guidance for 2020 adjusted operating expenses to a range of $436 million to $444 million, up $17 million from our previous range of $419 million to $427 million, reflecting expenses of $24 million predominately relating to our new initiatives in Europe, offset somewhat by expense reductions of $7 million in our existing operations, primarily in compensation and benefits and travel and entertainment. I will also note that the 2020 expense guidance related to EuroCCP and the derivatives build-out includes one-time operating expenses of about $3 million that will not recur next year. We still expect total expenses to ramp up in the second half of the year as we redeploy some the cost savings into marketing and promotional programs and we complete our Chicago headquarters build-out. As a result, we now expect our core expense growth to be down 1% to 2% versus our previous guidance of flat to up 1%. We included in the appendix an updated detailed 2019 to 2020 expense bridge similar to what we’ve provided in our last earnings call. A portion of the decline in the core expense growth is definitely attributable to the COVID-19 environment and its impact on travel and promotional, professional fees and to a certain extent compensation expenses, but it was truly enabled by our migration of the C1 platform in 2019. Turning to income taxes. Our effective tax rate on adjusted earnings for the quarter was 26.7% at the lower end of our guidance range and below last year’s second quarter rate of 27.7%. Year-over-year tax rate decrease was primarily due to higher tax benefits recognized related to foreign derived intangible income in the second quarter of 2020 versus 2019. We are reaffirming our 2020 full year tax rate on adjusted earnings, which is expected to be in the range of 26.5% to 28.5%. However, we expect third quarter to be at the higher end of that range. We’re also reaffirming our capital spending guidance for 2020 of $65 million to $70 million. While our move into the new Chicago headquarters has been delayed due to COVID-19, capital spending for this project is expected to be completed this year. Furthermore, we still expect depreciation and amortization to be $34 million to $38 million for 2020, which excludes amortization of intangibles of approximately $120 million in 2020. Turning to capital allocation. Let me underscore, we remain focused on investing in the growth of our business to build upon our diversified business model while returning excess cash to shareholders through dividends and share repurchases. Our financial position remains strong. We had excellent cash flow generation capabilities and a solid balance sheet. During the quarter, we returned $100 million to shareholders through share repurchases and $39 million through dividends. And at June 30, our share repurchase authorization available was nearly $330 million, reflecting an additional $250 million authorized in June. At quarter end, our debt remained at $875 million and we had $250 million in availability under our revolver if a short-term funding need arises. Our leverage ratio remained at one times at quarter end and we ended the quarter with adjusted cash of $176 million. Summarizing the quarter, we reported very strong quarterly results, including double-digit EPS growth despite muted volumes in our proprietary products. We continue to deploy capital in strategic investments, which Ed previously highlighted. We successfully reopened our trading floor with a modified floor layout and Cboe’s team of associates have shown perseverance and a keen ability to adapt in this extended work-from-home environment, all while continuing to deliver on our long-term growth initiatives. The entire leadership team and I couldn't be prouder of what we've accomplished thus far this year. In closing, Cboe’s financial strength and cash flow generating abilities have positioned us well. We intend to remain opportunistic as we execute on our growth initiatives and focused on serving the needs of our customers and delivering sustainable returns to our shareholders while guarding the health and welfare of our associates. With that, I will turn it over to Debbie for instructions on the Q&A portion of the call.
Deborah Koopman: Thanks, Brian. At this point, we’d be happy to take questions. We ask that you please limit your questions to one per person to allow time to get to everyone. Feel free to get back in the queue and if time permits, we’ll take a second question. Keith?
Operator: Yes, very good. Thank you. We’ll now begin the question-and-answer session. [Operator Instructions]. And the first question comes from Rich Repetto with Piper Sandler.
Richard Repetto: Good morning, Ed. Good morning, Brian and Chris. First, I agree. Cboe is a much more diverse platform than it was five years ago for sure. But the question with investors still gravitates back to the proprietary products and the VIX products, et cetera. So I guess the question, open interest is low. You’ve talked about a little bit the uncertainty, but what do you think will actually get – we’re starting to see a little build in the VIX futures open interest, but what will get investors back? Because – prior we thought the uncertainty is that’s when you use the products I guess. And now we’re seeing the uncertainty is uncertain and we’re in sort of a stalemate position.
Edward Tilly: Rich, good morning and thanks. It is a great question and it’s one that we continue to ask institutional investors. You're right. The stalemate is probably the best description I would use, I’m with you. We look at a relatively flat vol surface is really the most uncertain of times. There is no conviction either way. And as we said actually last quarter, you need to see the end of the event that's causing the uncertainty and there’s no end in sight quite honestly. We don't know how this pandemic ends, we don't know when it's going to our end and we don't know when institutions will go onto the sidelines more aggressively, actually 2x more greater the move to cash than we saw at the end of the financial crisis. That’s incredible from an institutional perspective. So I don't know. None of us know when the event is going to end. But it is at that point that we think we’ll see institutions reengage. It's when an uncorrelated market finds institutions back and hedging goes back to macro hedging as opposed to micro single-name hedging. So I don't have a clear answer for you, but it’s the same answer I gave you last quarter. When the event – when we can see the end of the event. Now to be clear, the event doesn’t have to end. We have to be able to see through the event and that's when I think we get institutions to reengage off the sidelines out of cash and reengaging in the unique products that we have at Cboe. 
Richard Repetto: Ed, would you agree that we are starting to see some steepness at least between the front – on the VIX curve front and --?
Edward Tilly: We see an ebb and flow there, Rich, what I think is really interesting and I'm anticipating a pickup more on the interest in and around the October and November – still we have the bump in October and November. That’s going to be interesting too. I think we do turn our attention as most are reading to the election cycle in the beginning in mid-August. So I think we'll see trade around there and just positioning for the long-term. That’s an institutional play. A little bit more color on engagement. We see retail really trading very, very short dated options. In SPY, for example, 20% of the trades in SPY are opened the day the contract expires, 40% of the volumes within two days of expiry. That’s not an institutional trading pattern. I think more likely we will see some positioning around the election and positioning for the longer term regardless of whether or not COVID is behind us or there’s an end in sight. You need to position for this election.
Richard Repetto: Got it. Thanks, Ed.
Operator: Thank you. And the next question comes from Michael Carrier with Bank of America.
Michael Carrier: Good morning and thanks for taking the questions. Brian, thanks for the updated expense guidance. Just two clarifications there. Can you maybe help us out and I know it’s tough to do, but as we think about '21 and you’ve got some of the depressed, like COVID, costs, then you have a lot of the acquisition-related costs, but just some expectation kind of heading there? And then I think on one of the slides you mentioned some of the revenues associated with the deals, but any context around that? Because obviously we’ll price in the expenses, but if you can give us some color on any related revenues, that would be helpful. Thanks a lot.
Brian Schell: Thanks, Michael. Good questions. And I think you're right. The crystal ball for '21 is a bit of a challenge and we're going through that process now. I think that we've tried to give pretty good color on the acquisition related. So when you get to – I think it will be a little cleaner in the third quarter. We’ll highlight that. So when we get to the third quarter, we’ll see that. But I think you should get a pretty good sense of the acquisition run rate. You should get a pretty good picture now when you look at the quarter and what the incrementality of I would say the largest piece of that kind of on a go-forward right now is the EuroCCP and the European derivatives build-out costs with, I mentioned that. I’ll call it that one-time kind of startup fees with getting that going, but I don't expect to be part of 2021 run rate. The COVID-19 costs, that's also I think is a really good question that a lot of firms are going to look at. There may be a – we’re going to balance the going back to normal, which again what is the new normal and are there things we can actually do as an organization and all organizations can do that actually are probably at a lower cost and get the job done than maybe what we were doing in the past. And so it probably – it does not look like what the structure looked like previously before the pandemic. So, we're going to work our way through that. That’s when we’ll give you more guidance on what does that look like as we’re getting closer to the fourth quarter and what does that run rate look like. On the revenue associated, we try to give some visibility to that with the EuroCCP when we provided the full year financials. And then with the acquisitions within the group, within the Information Services group with Hanweck and FT and Trade Alert, I think you're seeing that run rate effectively now when you look along there. So when you add all those components, that should give you a pretty good sense of that at least base without any incremental growth going into 2021.
Michael Carrier: Got it. Makes sense. Thanks a lot.
Operator: Thank you. And the next question comes from Ken Worthington with JPMorgan.
Kenneth Worthington: Hi. Good morning. I want to follow up on Rich’s question. You mentioned how well the multi-listed options and cash equity volumes are doing, but how poor the environment is for index. And to Rich, you mentioned the micro versus the macro hedging. But we do continue to see high volumes for SPY, which you say is retail. But we also are seeing high volumes for the E-minis which is definitely more institutional and you have weekly options that I believe are designed for short-term hedging. So could there be other explanations here beyond just the uncertainty, because it seems like things still aren’t quite lining up given what we’re seeing at competing products?
Edward Tilly: I’m sorry. I thought I had explained the SPY. So the SPY in very short term, those are day trades. Of the 20% of the contracts that are traded with a one-day expiry, meaning expiration day, 50% of those are opening. So 50% are closing. So I’d make the leap that those are a day trade in SPY, not an institutional action. The statistics for SPX are a bit different. 40% of those trades – I’m sorry, 20% of those trades are within a few days and that’s just different. And the notional size of the contract for SPX is really then pure institutional and the bite size really retail and SPY. So a little different on the observations of what SPY is being used for. It doesn’t appear to be a macro hedge. It appears to be a day trade. And SPX has not really been a day trade. There has been premium strategies used in the weekly, but those tend to be days and not hours and that’s the difference in the trading pattern that we’ve observed in this cycle. So I don’t know what other insight to give you. Just that notional size being so different in SPX is just not gaining the day trade attraction that small notional SPY is.
Brian Schell: And Ken, this is not – it’s somewhat obvious, but this is not a Cboe specific issue. When it comes SPX and retail, we’re actually seeing increased activity but it is a more institutional product than others. And when you look across institutional products, I’d look to Europe for example. Great, great example because those exchanges tend to trade and be more levered to institutional market participants. You’ve seen the results there. In the U.S., look, there are not a lot of index options products out there outside of Cboe. There is at least one example you can look to that’s not a Cboe product and you’ll see that the results there are quite similar if not more dramatic. So the evidence is out there everywhere in terms of institutional participants on the sideline and that’s impacting our numbers in terms of SPX and VIX.
Kenneth Worthington: Yes. I guess my point was, the E-mini is more institutional and that’s seeing very high volumes so that’s why I thought that maybe the institutional was doing well in the U.S. in macro hedging. I was trying to --
Edward Tilly: I think your observation on the June contract might be right, but as of late it looks like the same pattern we see in SPX. So, love to see – maybe that’s your internal data, but that’s – I’m looking at E-mini volume now and I don’t have the same observation you do, Ken, but we’ll certainly dig into it for you.
Kenneth Worthington: Thank you.
Operator: Thank you. And the next question comes from Dan Fannon with Jefferies.
James Steele: Good morning. This is actually James Steele signing in for Dan. Thanks for taking our question. So just on retail order priority, I’m just curious. What was the genesis of this offering? And kind of how should we think about the market opportunity and where can this take share on EDGX?
Edward Tilly: Let me talk more broadly. Thank you for the question. Let me speak more broadly and Chris will dive down into retail priority and then periodic auction. This is a continuation to offer a more services and order types to our customers who are looking for differences in trading U.S. equities. We look at the opportunities out there and just launching another exchange that doesn’t have any new value add is interesting, but we think more interesting is offering more order types and solutions for our customers. So with your specific question, let me turn to Chris. But think of our longer-term view as more broadly offering solutions to our customers, whether it’s U.S. equities, U.S. derivatives, European equities, building European derivatives, that’s really what we’re about. So Chris can get a little more specific into customer priority and then perhaps a word or two on periodic auctions in the U.S.
Chris Isaacson: Yes. Thanks, Ed. James, as Ed mentioned, this is really focusing on the diversity of our business. So if you think about retail priority in U.S. equities, we all know that with zero commissions there’s been a large retail push in our work-from-home environment. Retail trading has really picked up. We’ve seen reports where retail trading or retail percentage of the market’s gone up to maybe 25% of the market. So where retail priority has been above 100 million shares a day for us in ADV, we continue to see growth as more and more retail brokers as well as wholesalers sign on to this, because of the execution quality that is noticeably better. It’s all data driven based on BZX. So we see further growth here for a retail priority as obviously a bunch of this volume that remains elevated despite the high volatility is coming from retail. I’d also mention periodic auctions. As we said in the script, that’s something we created basically out of nothing in Europe in 2015. Dave Howson and team built periodic auctions and now it’s about 2 percentage points of the entire European market. We’d like to bring something very similar here in the U.S. The market structure’s a big different, but we think the opportunity is similar to provide a higher trading size, a lower impact, innovation in our equities markets. These two things are really highlighting the fact that we plan to bring innovation in every market in which we operate, and we operate a lot of markets across five business lines and 15 markets every day and we plan to compete and innovate in each one of them and these are just two examples of that.
James Steele: Understood. Thank you.
Operator: Thank you. And the next question comes from Chris Allen with Compass Point.
Chris Allen: Good morning, guys. I was just wondering if you’d give us some color in terms of what the revenues for EuroCCP were running in the first half of this year. How the outlook there is for the second? And maybe give us some incremental color just in terms of what you’re doing to support the index launches in the first half of next year? We signed up market markers. What are kind of the plans there?
Edward Tilly: Brian, why don’t you start off with the model and Chris and I can talk about the indices?
Brian Schell: Yes. Chris, I’m looking to kind of pull the first half numbers so we can certainly update that later. But I would say that the first quarter numbers – excuse me, the first half numbers looked – there was growth versus kind of – because I think we had published the 2019 numbers, but they saw a nice increase in the first quarter as overall volumes increased. So they are running ahead of last year, at least the first six months to date. But we’ll have to get back. We can publish that number for you to get that. I don’t have that right at hand. I don’t know, Debbie, if you have it or not. But it’s certainly running ahead on a year-to-date basis relative to the prior year.
Edward Tilly: Let me begin. So the indices – and Chris can talk a bit about the model, but we’ll start with six European indices; the Cboe Eurozone 50, Cboe UK 100, Cboe Netherlands 25, Cboe Switzerland 20, Cboe Germany 30 and the Cboe France 40 and will be calculating using Cboe market data with the exception of Cboe Switzerland 20. But the goal is really to light up these markets similar to U.S. market where there’s continuous quoting from the open to the close. That is unique in the European model and it’s something we're really good at. We've got interest from our market makers, liquidity providers who are eager to post markets from the open to the close. And most importantly, the demand for access to Europe in a unified way is coming up pretty broadly. So there's been incredible buzz around our efforts since we announced the plan to offer derivatives. Chris, you want to add anything?
Chris Isaacson: As Ed said, we’re very excited about European derivatives because we’ve learned a lot of lessons over many decades in the U.S., especially recently, including during while the trading floor was closed and then reopened. We plan to apply in the European derivatives to bring that liquidity to the screen with better tight quotes than there are today where the markets frankly are – our Colorado market with wide quote. So a lot of demand here from market markers and we think the end users will be there as well as they see the quote quality, so very excited about launching European derivatives in the first half next year as we’re integrating EuroCCP and then building upon our technology advantage with utilizing the Cboe technology as we have in the U.S. and Europe to really catapult us into launching that market.
Chris Allen: Thanks, Chris.
Operator: Thank you. And the next question comes from Alex Kramm with UBS.
Alex Kramm: Hi. Good morning. I guess you addressed some of this already a couple of questions ago when you talked about equities and how you differentiate yourself. But considering that MEMEX is starting up here and a couple of other exchanges in the next couple of months before we talk next, any other color you could provide how you prepare yourself for that to be able to compete aggressively day one when these others are going to compete aggressively on day one?
Edward Tilly: You’re right, Alex. Good morning. We did try to differentiate. We’re going to differentiate by uniqueness in handling customer orders with our customer priority or periodic auction, those are differences. I think you point out with the MEMEX launch, it’s not a new story. MEMEX our guess will be aggressive bordering on irrational pricing in the beginning to earn share. That’s not surprising. We tend not to chase irrational pricing in any of our models, but we anticipate that’s how they’ll begin. We will continue to offer solutions to customers and Chris spent a little bit of time on that, so nothing new to add there. Sorry, if that doesn’t answer your question. We think this is an exchange that’s just coming in on price and really not anything unique on order handling at this point. Now, we could be surprised in the future, but right now that’s the way we look at MEMEX. Chris?
Chris Isaacson: And Alex, I’d just mention, MEMEX, obviously been a long time in the making. We have respect for their ownership base and then as competitors we welcome the competition. But we feel like we’re well prepared to compete. And as I mentioned previously, we have a lot of innovations we’re bringing to the equities market. It has been very competitive and will remain very competitive and we think we’re well positioned into the future even as MEMEX and others join.
Alex Kramm: All right, cool. I’ll jump back in the queue. Thanks.
Edward Tilly: Thanks, Alex.
Operator: Thank you. And the next question comes from Ari Ghosh with Credit Suisse.
Ari Ghosh: Hi. Good morning, everyone. So just circling back to the recent deals that you talked about, Hanweck, FT Options, Trade Alert, they fit really nicely into your broader infor services business. But can you maybe talk about the strategic vision for MATCHNow, areas you see right for disruption outside of the acquired market in Canada? And then Brian, any high level color around sort of the magnitude of investment need around this initiative in 2021? Again, I appreciate the fact that you might be limited in what you say, but looking for more just a high-level commentary on those.
Edward Tilly: Brian, you want to start.
Brian Schell: Yes. As far as the magnitude of the need, I will say that -- I’ll try to frame that in the context of what we’ve done. I’m not a 100% sure what that question evolves, but I’ll take a shot at the hypothesis of what you’re asking for. The business that we have invested in that are now part of Cboe, the good news is, is they are already profitable, they’re already contributing, they’re already integrated as far as what we have closed. Obviously EuroCCP is a little bit further down the path there. But the ones you mentioned on the information services group, I will mention that. So there’s not a lot of necessarily incremental investment or CapEx or things along those lines. If that was, call it a tangent of one of your questions. From a broader capital allocation perspective, it’s really a very similar story as continuing to look at those things that again continued to help drive the growth of proprietary products, they continue to help our expansion into the new jurisdictions, they continue to leverage the existing asset classes. So with our balance sheet, we have a lot of flexibility. If we have to access the capital markets from a debt perspective, that’s easy to do from where we are. It’s a terrific interest rate environment to be able to do that. So that’s a very broad question, but I’ll just say – I’ll leave you with of what we’ve acquired. It’s fairly well integrated and I think we’ve laid out kind of what is required in the overall investment needs. So I’m not as concerned that that is going to be a big cash draw. And should something that come to fruition that requires more balance sheet leverage, we think we have the capacity to do that.
Edward Tilly: Then specific to MATCHNow, Chris and John?
Chris Isaacson: Yes, I’d just say, Ari, that one of our strategic growth drivers as Ed mentioned in his script is obviously geographic expansion as well as asset class diversification. So MATCHNow fits very nicely into our North American equities business. It lets us get into a new geography. If you look in the way in which we expanded to new geographies given the Bats heritage in Europe starting with a relatively footprint and then over time growing to a great scale, we look forward to integrating MATCHNow into Cboe using our world class technology and then over time growing our footprint there potentially beyond where we’re starting. So quite excited about this. And as Brian mentioned, it’s a profitable business which fits very nicely.
John Deters: Ari, this is John. I’d really emphasize all those points. This is a strategic priority for you. You see it on the very first page of our deck. It’s one of the top, call it seven, global equity markets adjacent to us, very sophisticated market participants. We will continue to look at markets like this and pick our sweet spot for entry. We like this spot for entry because it’s a unique platform in Canada. Very, very strong position in the new and growing dark segment of the market, which is a very different market structure in Canada and this is a new offering to the market. So we like that start point. We like it profitable. And from there we’re creating a map to grow our presence in Canada.
Ari Ghosh: Got it. Thanks, guys.
Operator: Thank you. And the next question comes from Ken Hill with Rosenblatt.
Kenneth Hill: Hi. Good morning, everyone. I had a question on closing auction. I know that kind of got started here in the U.S. at the height of the pandemic beginning in March. I was hoping you can provide an update on what you’re seeing from a volume perspective. And then more broadly, how you would expect that to trend here going forward and maybe what might help bring volumes up a little bit higher? Is it more interaction with customers and are you still able to do that in this COVID environment?
Edward Tilly: Ken, good question. Thanks for asking. So we did see our first trades on Cboe closing cross or Cboe market close here in the U.S. here this summer, so we’re excited about that. We have seen a lot of our large customers who use this product kind of come out of change freezes as they’ve adapted to this COVID-19 work-from-home environment. So those change freezes have sod. I’d also mention the 3C, the Cboe Closing Cross in Europe has started to see some nice volumes. We’ve seen actually in June almost €20 million a day across Cboe Closing Cross. So we’re still very excited about both products, both in Europe and the U.S. We think there’s demand for this given the relatively very high margins that the primary listing exchange has had here in the Closing Cross and that’s still a large percentage of the market if you look in first quarter and second quarter, it’s still between 5% and 6% of overall volume was happening in the close. So it’s a part of the market that we are competing in and plan to compete in even more aggressively.
Kenneth Hill: Great. Thank you.
Operator: Thank you. And the next question comes from Brian Bedell with Deutsche Bank.
Brian Bedell: Great. Thanks. Good morning, folks. Thanks for taking my questions. Just want to come back to the proprietary trading, a different angle on that. What you can organically do to improve that trading in the near to intermediate term? And that you – things like ask about on that is the trading floor, how is that going? Do you see that actually helping volumes or is that getting overwhelmed by the environment? And the complex order technology, the order type functionality that you were building out for the index options, maybe an update on that and whether you think that will contribute? And then of course on the Mini-VIX that you talked about today, if you think retail will play in that and that could stimulate VIX volumes?
Edward Tilly: Great questions, Brian. Let me start with the trading floor. No, I don’t think – I know the trading floor is not overwhelmed by any circumstance. As a matter of fact, we think the reopening of the floor and the reconfiguration is highly effective. The feedback from brokers and market makers is they are ready. They are ready for today’s volume and more. So we think we’re well positioned for the eventual return of those most complex orders in a hybrid environment. As to preparing for and what we hinted to last time was we need to be ready should we need to close the floor if the state or the country changes its phasing during this pandemic. Chris will give you an update on that readiness. You may know that publicly we’ve filed rule filings for a virtual approach to trading. A lot of the gaps we noticed in able to access the supply of deep liquidity of SPX market makers was a bit at times encumbered by an all-electronic environment and we struck out and needed to solve for that. So Chris can give you an update on that progress. And then for Mini-VIX, yes, we do think this will be a retail engagement here. That is exactly why we’re launching Mini-VIX at this time. There’s been great interest in smaller sized contracts, smaller notional contracts that is really retail friendly. It goes back to a lot of the observations that Ken had earlier in the Q&A. And we look forward to that launch, again pending regulatory review in August. And then most importantly, education remains the key driver in organic growth. It’s those touch points and engagement with the massive amounts of interest in the broad U.S. market who are still not engaged in derivatives speculation or derivatives hedging. That’s always going to be the target. And finding new ways in this environment to reach out, touch, engage and to teach is what we have been doing over the past months and I think we’re making great progress given the current environment. But I don’t want to leave without Chris’ answer as to how we’ve done in our readiness, pending regulatory approval of our solution for virtual trading floor.
Chris Isaacson: Yes, absolutely, Brian. So we have been working behind the scenes on this virtual trading floor concept should we need to close the trading floor again because of COVID-19 and if there are any other further outbreaks in the Chicago area. So we’ve been working very closely. We filed with the SEC June 12, so you can look at that filing. And it just gives us another option or another choice if we would have to close. I’d also mention, we learned a lot through going all-electronic when the floor was closed for about three months and we accelerated some of the functionality we had with our Silexx platform in order to effectuate a lot of trading during that time. So it’s not just the virtual trading floor efforts we’re making but also the efforts on our OEMS with Silexx also. And then just one last thing on Mini-VIX, I’d mention the market maker engagement has been tremendous. The commitment there to this product as we believe retail participation will be high and retail interest is high, so we’re very excited about that.
John Deters: Brian, this is John. Just on retail again, while we see cyclical trough in institutional retail we believe here is a secular catalyst and we’re leaning into it. Mini-VIX is a great example. I think target outcome products are another great example, just an amazing performance over the past 12 months because of retail’s attention to this product. And we’ve done a lot of engineering around that. And then our internal data project that helps us understand what retail is doing and educate, as Ed and Chris mentioned. We are leaning into the secular growth story on retail and we like that quite a bit.
Brian Bedell: Do you have the online brokers signed up yet or are they just waiting to see the product get launched first before they put that on their platforms?
John Deters: On Mini-VIX? Is that your question?
Brian Bedell: On the Mini-VIX, yes.
John Deters: Yes. The online brokers are very supportive of this. They see quite a bit of demand behind the product.
Brian Bedell: Okay.
Edward Tilly: It’s typical of a product launch. We’ve started with the target that we believe and of course the conversations and the design then we bring in exactly the retail online brokers to your point. So yes, there’s been great dialogue and interest expressed in that size contract for VIX.
Brian Bedell: Great. Thanks very much for all the detail. Thank you.
Edward Tilly: Sure.
Operator: Thank you. And the next question comes from Chris Harris with Wells Fargo.
Chris Harris: Great. Thanks. So we’ve already talked about the COVID-related overhang affecting the VIX, but how are you guys thinking about how the Fed might impact the franchise? And I guess what I’m wondering is, is quantitative easing and zero rates good or bad for the VIX franchise do you think?
Edward Tilly: I think it’s broader question than the VIX franchise. I think that in low interest rates environments, the search for a return really lends basic overwrite strategies, long positions in equities but the overwrite strategy or a premium harvesting that we’ve seen in past environments in low interest rates really lends well for derivative trading overall. The constant roll in harvesting premium has been a pattern we’ve seen in very low interest rates environments where there’s a search for a yield. It’s just that simple. So we think the continuation of a low environment will be very position for those that will learn how to harvest premium and/or simple overwrite strategy of long equity positions after what has been a bull run in a handful of stocks. We think maintaining those positions with derivatives in a low interest rate environment will continue.
Operator: Thank you. And the next question comes from Alex Blostein with Goldman Sachs.
Alex Blostein: Great. Good morning. Thanks, everyone. So a question for you guys around European equities, European cash equity. This is a business that doesn’t get a ton of focus. But curious, what’s been behind recent acceleration in market share losses there and whether or not there are any efforts in place where they’re expecting or market structure-related to call some of that back? And I guess I’m curious whether the efforts you guys are doing on the European derivative side could benefit the European cash business at all? Thanks.
Edward Tilly: It’s a great question. And yes, there has been incentives in place and of late we’ve had some great success in share. So I’ll turn it over to Chris to describe a little bit of the new program that we’ve put in place to better incent BBO pricing. It’s really an added maker incentive in our lit book. We’ve seen early wins as we’ve begun to roll this out across geographies. But Chris, a little bit more color.
Chris Isaacson: Yes, absolutely. Alex, we did see a dip in market share in Europe but we’ve seen actually a return, a growth here actually in July. We’re above 18% which is actually above where the Q1 market share was and that is a result of, as Ed said, the additional liquidity provider scheme we put in place. It’s really focused on the CXC lit book there. We’ve rolled that out across most of the European markets and we’ll do it on the remainder very soon. So Dave Howson and team have done a great job of engaging with our clients, putting in a liquidity provider scheme that will help improve market quality and therefore the volume is following. I’d also mention on that that one of the things that was a drag on market share was short sale bands that have since fallen off, but it’s been helpful for our market share and overall volumes.
Operator: Thank you. And the next question comes from Kyle Voigt with KBW.
Kyle Voigt: Hi. Thanks for taking my questions. Maybe just a question regarding the Credit Suisse delisting of a number of their volatility exchange rated products that happened earlier this month. I think they also noted that they were delisting those to better align their product suite with their strategic growth plan. So I’m just wondering, can you provide some more color there? Obviously they’re a partner of yours. Just wondering if you think them deemphasizing these products and delisting them on the exchange rated product side could have broader implications for the franchise?
Edward Tilly: Actually what we’ve maintained all along whether it’s an issuer of an ETP or an ETF or a liquidity provider who pivots and changes their focus, there’s always someone and some institution willing to fill the gap if there’s customer demand. So as we anticipated, we’re already seeing inflows from other ETPs and new funds are being created to fill the void created by TVIX. So not surprising, we saw in June 22 I think the TVIX delist announcement where their AUM declined to about 600 million from 1.5 million, but at the same time we saw UVXY, which is a 1.5 levered ETP increase to 1.2 billion in AUM from 700 million and [indiscernible] increase to nearly 700 million from 500 million. So net-net, if you look at the complex of TVIX, UVXY and [indiscernible], if I add those together before launch and today we’re down about 200 million out of 2.5 billion. And that’s all before the new – there’s a new 2x long ETP filed at the SEC from volatility shares that still has not launched. So we always see someone willing to fill the gap if there’s customer demand for products. So I don’t at this point see any long-term effect of one group exiting and others we willing to step up and take the place because there’s customer demand for this kind of exposure. So at the end of the day, I think this – we’ll see nothing to – up to growth because there’s demand for the products.
Kyle Voigt: Great color. Thanks, Ed.
Edward Tilly: Thanks.
Operator: Thank you. And the next question comes from Owen Lau with Oppenheimer.
Owen Lau: Good morning. Thank you for taking my question. Going back to MATCHNow and I would ask the question slightly differently. Do you think you have the critical mass in calendar right now or maybe after the acquisition? And what kind of metrics and timeline you’re looking at to gauge whether you want to expand further in calendar? Thank you.
Edward Tilly: It’s a great question. I would say – since we haven’t closed yet, it will learn a lot on integration. As you may or may not recall from our announcement, we’re able to keep the team that’s built MATCHNow which is an incredible addition to us and the entire MATCHNow team will be joining our North American equities division. And it’s with that insight and learning from one another that we’ll be assessing whether or not and how to expand in Canada, whether it’s with MATCHNow growing or if we have to look at other alternatives for growth in Canada. So we’re not done. We haven’t closed and nor have we been able to really seek the incredible insight into the Canadian equities market from the MATCHNow team. So please give us a little patience until we close so we can share with you our vision for Canada. We love the market, a lot of the same customers, but we’re going to be introduced to new customers as well. So let us assess that a little bit more after we close and I think we can be a whole lot more transparent once we get closing and able to share with you some more vision.
Owen Lau: Okay, will do. Thanks for the color.
Operator: Thank you. The next question comes from Jeremy Campbell with Barclays.
Jeremy Campbell: Hi, guys. Thanks. Ed, on a prior call I think you guys had discussed like CME’s launch of micro E-mini futures was kind of oddly correlated with the rise of your XSP option. I’m kind of wondering a couple of things. One, how do you see the pending launch of CME’s options on those micro contracts with the lateral to your options complex? And then maybe just a bigger picture one, now that basically the notional sizes have gotten cut down dramatically in all equity derivatives over this past year, if there’s any kind of network externalities, if you will, from you guys going into Mini-VIX on kind of industry-wide equity derivative participation?
Edward Tilly: Yes, that’s great. I love the way you framed the question because we do look at the opportunity as really an ecosystem. And the most successful ecosystems and trading environment is one where there’s deep liquidity for institutions. There’s small bite sized liquidity for customers. That interaction is incredibly powerful because you can actually satisfy the demand from any size user. And then from our perspective we’re able to take further advantage by having volatility products linked to both. So it’s that ecosystem that’s the most powerful and we do grow the pie in its entirety, including futures at CME. The big difference really from a retail size micro option is the difference, the huge difference between retail investors who have securities accounts and the very few retail investors that have futures accounts. There just are not that many. They tend to be the most sophisticated that go and continue to click through online retail brokers for futures accounts. What we’ve learned also and it goes back to Ken’s question, the beauty of having a research department here at Cboe is I’ve had people digging for the growth that Ken sees in E-minis and compared to SPX and options on the E-minis, I haven’t seen it. We can’t find it. It looks pretty flat lined to us, but it’s a comparison that we’d like to take up with Ken later. But more to your question, yes, we see the entire product growing when we can attract more customers into the complex and we think – we both will benefit if the pie grows. Love to see futures grow at CME by the way. That means that there’s institutions being satisfied and their derivatives tend to trade with us when prices are set.
Jeremy Campbell: Great. Thanks a lot.
Operator: Thank you. And the next question is a follow up from Rich Repetto with Piper Sandler.
Richard Repetto: Hi. I know the call has been on pretty long, but I do have a – just quickly if you can go through the periodic auction, because in Europe there’s no Reg NMS. So just quickly some of the details on how it will work here? Will you still get SIP market data revenue if you do pick up share and is it lit or dark? I apologize, I haven’t read the filing. These details may be there, but anyway.
Edward Tilly: Rich, look, as for time, this is our time with you, so please don’t apologize for that. We definitely appreciate the follow-up question. What we do in the U.S. currently in the U.S. market is lit, but I’ll have Chris give you a little bit more color on importing the expertise and what we’ve learned in Europe to our market share in the U.S. But yes, currently we play in the lit market in the U.S.
Chris Isaacson: So on periodic auctions, Rich, so obviously there’s no trade through rule in Europe but there is in the U.S. We’ll be abiding by that. This is all in the rule filing. But the details are; there will be a certain amount of transparency around periodic auctions but not too much as to create market impact. We’ll be abiding by the trade through rule and there will be – but there will be periodic and kind of randomized option periods so as to minimize that market impact. So we’ve taken what we’ve learned in the market construct in Europe and we’re applying to U.S. market structure under Reg NMS. We especially think this might be useful some securities where some more illiquid securities, frankly they’re harder to trade in a purely continuous market where there’s been a lot of market structure discussion about the best way to facilitate trading in those securities. So this is just one of many things we’re doing across the globe and applying lessons learned in one geography or asset class to another.
Edward Tilly: And on the SIP question, Chris?
Chris Isaacson: Yes. On the SIP question, so obviously we will get trade revenue from that for reporting trades that happen through periodic auctions. I don’t believe there are going to be any core revenue.
Richard Repetto: Understood. And one last quick comment. You brought up the [Technical Difficulty].
Edward Tilly: Rich, you’re breaking up on us.
Richard Repetto: Okay. I’ll pass. Thank you, Ed.
Edward Tilly: Put more quarters in that machine, Rich. We can’t hear you.
Operator: Thank you. The next question is also a follow up from Kyle Voigt with KBW.
Kyle Voigt: Hi. Thanks for taking the follow up. Just for Brian on expenses. So last quarter you mentioned that we should annualize the 4Q expenses as a good jumping off point to model 2021 operating expenses. With the updated guidance today, you noted that you have some extra cost, I think 3 million in the back half of the year that are kind of nonrecurring. But if we back those out, is that annualized 4Q expense run rate still the best way to model 2021 or model it as a jumping off point for 2021 expenses?
Brian Schell: I think that’s still going to be the primary base for being able to model '21, because it’s going to have all of the – our information services group in there, we’ll have hopefully MATCHNow in there, we’ll have EuroCCP in there, we’ll have a better baseline of I’ll call it core or existing in there. So I still think that’s going to be the best jumping off point. The percentage changes the way people have traditionally modeled expenses and say, what was this? And then you have X amount of growth over the prior year, the percentages may look a little tricky just because of the environment that we’re in. And depending on where we are in fourth quarter relative to where we are at the pandemic and what the world looks like from that perspective. So I still think that that’s going to be our best starting point, because it will have everything integrated in there. So hopefully that answers your – Kyle, again a good question. But if not a follow up, please ask. But there was a question earlier on the EuroCCP first half performance. I did have a chance to – people have fed a little bit information back. It looks like the first half performance on revenues, again these are all unaudited and everything else, but it looks like the top line revenue was about a 60% increase over the prior year in the first half for EuroCCP. So I wanted to mention that to folks. And obviously that will fall to the operating leverage to the bottom line impact as well. But again, as I mentioned, they had a very strong first quarter with the activity and that has definitely showed up in their results in the first half of the year.
Kyle Voigt: Sorry, Brian. Did you say 60%, 6-0?
Brian Schell: Yes.
Kyle Voigt: Okay. Thank you.
Operator: Thank you. And that does conclude the question-and-answer session. I would like to return the floor to management for any closing comments.
Deborah Koopman: Thanks, Keith. Thanks everybody for calling in this morning. We appreciate your time and continued interest in Cboe. Bye.
Operator: Thank you. That concludes today’s teleconference. Thank you for attending the presentation. You may now disconnect your lines.